Operator: Welcome to ITT's 2015 Second Quarter Results Conference Call. Today is Friday, July 31, 2015. And starting the call from ITT today is Melissa Trombetta, Vice President, Investor Relations. She is joined by Denise Ramos, Chief Executive Officer and President; and Tom, Scalera, Chief Financial Officer. Today's call is being recorded and will be available for a replay beginning at 12:00 P.M. Eastern Daylight Time. At this time, all participants have been placed in a listen-only mode, and the floor will be open for your questions following the presentation. [Operator Instructions] It is now my pleasure to turn the floor over to Melissa Trobetta. You may begin.
Melissa Trombetta: Thank you, Laurie. I'd like to highlight that this morning's presentation, press release and reconciliations of GAAP and non-GAAP financial measures can be found on our website at itt.com/ir. Please note that any remarks we make about the future expectations, plans, prospects and other circumstances set out in our Safe Harbor Statement constitute forward-looking statements for purposes of the Safe Harbor provision. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors including those discussed in ITT's Form 10-K as well as our other public SEC filings. We undertake no obligation to publically update any forward-looking statements whether as a result of new information, future events or otherwise. Forward-looking statements made on this call should be evaluated together with the risks and uncertainties that affect our business, particularly those disclosed in our SEC filings. So, let's now turn to slide number 3, where Denise will discuss our results.
A - Denise Ramos: Good morning, everyone. I appreciate you joining us as we announce our financial results for the second quarter of 2015. Q2 was yet another strong operating quarter for ITT where we continued our track record of delivering solid results despite the persistent headwind from foreign exchange, global oil and gas markets and general and industrial markets. Despite these top line challenges in the quarter, we never lost our focus on strong execution, which his reflected in both our adjusted segment operating margins of 15.2% and our solid adjusted earnings per share of $0.69. Throughout the quarter, we maintained our operational intensity. And we improved our adjusted segment gross margins by 140 basis points. This significantly contributed to the growth of our adjusted segment operating margins, which expanded 110 basis points to 15.2%, the second consecutive quarter of record margin for ITT. This expansion was driven by momentum from our ongoing LEAN transformation, restructuring savings from actions we have taken in our industrial process and interconnect solutions businesses, and supply chain benefits. And we were able to achieve these results, while at the same time, investing in our strategic growth initiatives and absorbing the disruption impacts from our ICS business due to the relocation of certain North American operations. When we made the decision to invest in strengthening our culture about a year-and-a-half ago, we were confident then that it would unlock potential at ITT. And what we are realizing today is that our culture is having an even greater impact when combined with our lean transformation. The level of accountability and collaboration is magnified when you put these two forces together. And that has allowed us to collectively overcome challenges and create value for our shareholders. So, before I continue, I would just like to thank everyone on the ITT team. I'm really proud of how our team has come together in this way. So, now, let me share some perspectives on the Q2 financial results and how they will impact our full-year outlook. Organic revenue grew 1% this quarter, with Motion Technologies once again leading the charge, followed by our Industrial Process business. Motion Technologies grew an impressive 9% in Q2 due to improved global production rates and shared gains in all of our key OEM automotive geographies, coupled with an anticipated recovery in aftermarket growth. Our Industrial Process revenue, which was up 4%, reflects strong midstream and downstream oil and gas pump projects that were supported by backlog entering 2015, along with strong aftermarket growth mostly driven by parts shipments in Latin America and the Middle East. These results were partially offset by weakness in our shorter-cycle baseline pumps due to market dynamics. Our top line was also negatively impacted by our ICS business, which experienced operational disruption and declines across key end markets. Organic orders were down 6%, mostly due to declines in capital spending in the oil and gas and chemical markets coupled with weaker short cycle baseline pump activity due to global market uncertainty. In addition, we are also continuing to experience connector softness across end markets. As I mentioned from a margin perspective, we improved adjusted segment operating margins to 15.2%. Our strong execution, in addition to the impact from higher volumes, more than offset challenges at ICS and the negative impacts from pricing headwind across most of our businesses. And as always, we continue to fund our long-term growth investments for the future with increased R&D and strategic investments. An example of the sustainable operational improvements we are putting in place that help drive our strong execution is the world-class manufacturing excellence program at Motion Technologies, which is really the next phase in their lean transformation. This program was embarked upon about nine months ago, and I personally witnessed the transformation when I visited our Barge facility last month. The improvements can be seen in their operations in areas such as safety, quality, equipment uptime, and material flow. The progress that they have been able to achieve in such a short period of time is very impressive. So, now, let me provide you with an update on the operational challenges at ICS. During the first half of 2015, we have experienced operational challenges related to the move of several production lines within our North American footprint. Let me tell you, I am unhappy with the duration in the financial and operational impacts of these transfers. But I want to assure you that we are diligently executing a turnaround plan that I believe is essential for the long term strategic growth of this business. During every one of the internal transformations that we have undertaken at ITT since the spins, our focus has been on building solid operational and functional foundation for our businesses. Foundations that we can leverage to drive long term strategic growth. Our initial successes during the early phases of the ICS turnaround generated solid short term financial results. But we entered the current phase of the transition to drive sustainable, long-term benefits. And while this space of eliminating the significant structural inefficiencies in our footprint will take longer than anticipated due to the complexity, we believe these steps are the right ones for the long term. Therefore, we now expect that the operational improvement actions will extend well into the fourth quarter. And as a result, the second half profitability will be consistent with the first half. However, in the second half, we do expect to generate some incremental benefits from the additional Q2 restructuring actions. So, while we're not happy with the magnitude of the 2015 impacts, we have the right plan in place to aggressively fix these issues for the long term. So, despite these challenges at ICS, we collectively delivered solid operating results that are reflected in our adjusted EPS of $0.69 per share, which was up 15% versus last year and up 25% excluding the net negative impacts from foreign currency. The growth also reflects lower corporate costs and a lower share count. So, moving on to guidance. While we are pleased with our strong earnings results for the first half of the year and the year-to-date productivity momentum we have generated, we have to be mindful of the macroeconomic environment as we enter into tougher market conditions in the back half of the year. We also need to consider the impacts from the operational disruptions at ICS. So, as a result, we are updating our full-year organic revenue guidance range to be down 3% to down 1%. We are also updating our adjusted EPS guidance range. The collective first half benefits, including better than expected operational performance in Industrial Process and Motion Technologies, higher restructuring savings and lower corporate costs are not enough to fully offset the expected impacts from lower second half volumes tied to macroeconomic uncertainty and the continuation of disruption impacts at ICS. As a result, a revised adjusted EPS guidance range is now $2.45 to $2.55 per share. So, let's turn to slide 4 and I'll give you an update on our three strategic focus areas of optimizing execution, market expansion and effective capital deployment. So, let's start with optimizing execution. Our focus on execution is what fueled our better-than-expected Q2 earnings. So, let me provide a few examples that highlight some of our value-creating activities this quarter. First, our Industrial Process business is already generating solid benefits from the actions they are taking to reorganize and streamline their businesses. These benefits have come through improved operational effectiveness, including productivity and incremental restructuring savings, and can be seen in IPs post-spend record margin of 14.2%, which is a 470 basis point improvement over last year. Our customers are also benefiting from our efforts as we have been able to improve our lead times and in some cases, exceed our customers' delivery expectations. As we move through the year, we are continuing to identify additional opportunities to improve efficiency and reduce costs in areas ranging from footprint optimization to a more focused supplier base. Not only are we reducing our overall cost structure across the businesses, but we are also continuing to find opportunities to reduce corporate costs. In Q2, we incurred lower-than-expected corporate costs due to prudent cost containment actions at the functional level. In addition, we earned higher returns on certain investments, and we incurred lower environmental costs due to more efficient project management. And finally, I'd like to point out that there was a significant reduction in our pre-tax net asbestos liability in the quarter due to our change in our asbestos defense strategy. In Q2, we recorded a $101 million pre-tax benefit due to the implementation of a new strategy to reduce our future defense costs, which we will implement in phases over the next few years. This strategy reduced our net asbestos liability by more than 10%. Please note that the benefits of this action were excluded from our adjusted results in the quarter. Now let's look at market expansion activities. In 2015, we have continued to sharpen our focus on the highly profitable aftermarket, which was demonstrated by solid growth in our Industrial Process business with sales up 13% versus the prior year driven by strong parts shipments for both Latin America and the Middle East. In addition, our skilled motion technologies team, led by Luca Savi, has continued to drive sustained top line growth and improved productivity while expanding the business globally. Over the last three years, our automotive friction business has averaged 10% organic revenue growth. And over the last 10 years, Motion Technologies has outpaced the market by 2.5 times. We continued our growth trend in the second quarter of 2015 where our global friction business grew 12% excluding the impact of currency with all major geographies contributing to the results. These outstanding performances are direct reflection of our world-class execution capabilities, combined with our material science expertise and our ability to rapidly deploy and develop new technologies to meet our customer's evolving demands. From a profitability standpoint, our Motion Technologies business is also very unique when compared to transportation peers. Their margin performance reflects the strong operating capabilities of the entire Motion Technologies team, along with their ability to optimize the highly-automated, highly-efficient production processes while leveraging a concentrated footprint. It is these unique qualities and capabilities that have allowed us to expand our strategic relationships with both new and existing customers. And in the second quarter, I'm very pleased to announce that after many years of active engagement, we finally won our first OEM copper-free brake pad platform with a very strategic Detroit 3 manufacturer for the North American market. And with this front acts of win, we can now say that we have a customer relationship with all of the Detroit 3 for the North American market. As we further expand our global reach, this win is a significant milestone that further supports the long term growth potential of this business. I'd like to congratulate the Motion Technologies team for this strategic win, as I know, it has been a long time in the making. So, now, the last focus area is capital deployment. Shortly after the close of the first quarter, we completed the acquisition of Hartzell Aerospace. And I'm happy to report that the integration into our Control Technologies business is nicely on track, and we are pleased to see a number of new growth opportunities that this acquisition has already provided to Control Technologies. During the quarter, we also continued our phase investments to further expand our Wuxi, China friction facility to meet growing customer demand. As a result of the investments we have made in our China facility, we have continued to deliver tremendous top line and margin expansion. For the first half of 2015, we have averaged over 20% growth in our China automotive business. And finally, as we continue to strategically fine-tune our portfolio, it is important to note that we divested a non-core industrial product line within the Control Technologies business with annual revenues of approximately $10 million and annual operating income of approximately $1 million. So, with that, let me turn it over to Tom who will discuss our results and guidance in more detail.
A - Thomas Scalera: Thanks, Denise. Now, let's turn to slide 5 for a detailed review of our second half results. In Q2, total revenue declined 5%, but organic revenue increased 1% after adjusting for foreign exchange and the net impact of the Hartzell Aerospace acquisition and the industrial product line divestiture that the Control Technologies team executed this quarter. Motion Technologies led the way with exceptional 9% organic revenue growth, fueled by our global automotive brake pad business as well as our KONI shock absorber business. These businesses were up 12% and 5%, respectively. It is important to note that after a soft first quarter, our automotive independent aftermarket grew 14% in the quarter due an anticipated shift in our customer's buying pattern. Industrial Process also delivered solid 4% organic growth in the quarter. This growth reflected a 13% increase in the aftermarket that was driven by parts in Latin America and the Middle East and a 33% increase in project pumps. The project growth reflected our strong performance on global oil and gas projects that were already in backlog, partially offset by difficult prior year chemical market comparisons and weak market conditions in Asia. Our short-cycle baseline pump and valve businesses were down 25% in the quarter due to weaker-than-expected market conditions in North America, compounded by a difficult prior year comparison. ICS's organic revenue declined 14% due to delayed shipments related to the disruptions in our North American operations, weaker-than-expected demand across major geographies, and significant declines in our high margin book-and-bill upstream oil and gas business. And, finally, Control Technologies was up 1% in total but declined 10% organically excluding the impact of the Hartzell acquisition, foreign exchange, and an industrial product line divestiture. The organic decline is mainly due to the timing of commercial aerospace shipments, softness in the commercial aerospace aftermarket, and general industrial market weakness. Shifting to orders, organic orders decreased 6% in the quarter due to a 15% decline in our Industrial Process business. The declines at IP were tied to weak project pump demand as a result of capital project uncertainty, weak baseline pump demand related to lower U.S. economic output, and lower service activity due to a $10 million Middle East service contract in the prior year, compounded by delayed global service activity in the current year. We also continue to experience connector weakness across key end markets, including general industrial and upstream oil and gas, which contributed to a 9% organic decline at ICS. Partially offsetting these declines were solid orders in our Motion Technologies business, which was up 5% on an organic basis. Motion Technologies' performance was driven by a 10% increase in global orders in automotive brake pads where we continue to outpace the global market. These results were partially offset by an 11% decline in our KONI shock absorber business due to a difficult prior-year comparison in China rail coupled with North American rail market softness. Second quarter adjusted segment operating income of $96 million increased 2% primarily due to strong net operating productivity from our ongoing lean transformation and significant restructuring benefits from the actions taken at Industrial Process and ICS. These benefits were partially offset by $7 million of negative foreign currency impacts and $6 million of operational disruption costs at ICS. In addition, we're lapping a prior-year favorable legal settlement in our Motion Technologies business that was only partially offset by a favorable insurance recovery. For the quarter, our adjusted EPS of $0.69 per share exceeded our expectation and was 15% higher than the prior year. Excluding the negative impact of foreign currency, our adjusted EPS grew 25% versus the prior year, reflecting solid segment operational performance, lower corporate costs, and a lower share count. The decline in corporate costs is due to prior-year investments and internal capability building and higher prior-year incentive costs coupled with current year ongoing cost containment actions and an intense focus on driving efficiency. Let's turn to slide 6. As you can see here, once again, we delivered record segment operating margins of 15.2% this quarter, representing an increase of 110 basis points over the prior year. Our margin expansion was largely the result of strong operational execution that generated over $30 million of gross productivity savings in Q2. These savings were driven by benefits from our LEAN transformation, expanded global strategic sourcing, and significant benefits from the restructuring actions of both Industrial Process and ICS. Included in our second quarter margin expansion was a record adjusted segment margin in our Industrial Process business, where we are seeing the benefits from the actions we have taken to reorganize the business into three more focus verticals. This approach has allowed us to focus on optimizing our execution while lowering our structural cost base. This realignment will also make us an even stronger competitor once we emerge from this difficult macroeconomic environment. And as a result of this tremendous work, IT increased their adjusted segment operating income by 49%, which expanded their adjustment segment operating margins to 14.2%, which is 470 basis points better than the prior year. Once again, in the second quarter, productivity gains across ITT have self-funded 30 basis points of organic investments primarily at Motion Technologies and have helped to offset the negative impact from a prior year favorable legal settlement. And before I move on, I would like to highlight that we have maintained our streak of year-over-year margin expansion. And the second quarter marks our 10th consecutive quarter with an average of 120 basis points of growth over that time. This level of performance validates the strength and sustainability of our LEAN transformation. Finally, let's now turn to slide 7 for our 2015 guidance update. As Denise discussed earlier, we have updated our total inorganic revenue guidance ranges for the full year. We are now forecasting our total revenue to be down 9% to down 7%, and organic revenue to be in the range of down 3% to down 1% versus the prior year. The revised revenue guidance reflects improved project execution in our Industrial Process business that will be more than offset by slower-than-expected second half industrial markets along with the impact from the operational disruption at ICS. So, let me provide some additional insights into our organic revenue reset by end market. While the oil and gas markets have continued to deteriorate, we continue to expect oil and gas markets to be down in the mid-teens range on a year-over-year basis due to a strengthening in our project execution capabilities. For the second half of the year, we expect oil and gas to be down slightly on a sequential basis and to be down over 20% versus the prior year due to significant declines in our short-cycle upstream connectors, reduced upstream pump projects, and softer short-cycle demand in the mid and downstream sectors. In the industrial markets, we now expect the full year to be down mid-single digits versus the prior year, primarily reflecting a continuation of the lower-than-anticipated levels of economic activity from the first half of the year across multiple end markets and geographies. This does, however, imply a slight second half improvement in industrial due to shipments of small projects and backlog and increased aftermarket activity in chemical and general industrial markets. In the transportation market, we now project mid-single-digit growth for the full year, slightly lower than prior forecast due to China rail weakness, the timing of platform starts in automotive and aerospace markets, and the disruption impacts at ICS. From a sequential perspective, we expect second half transportation to be down low-single digits due to a normal seasonality in the automotive markets, partially offset by aerospace. And moving on to adjusted EPS, as we mentioned earlier, our adjusted EPS guidance range is now $2.45 to $2.55 per share with a midpoint of $2.50. With this minor [indiscernible] in adjustment, the new midpoint represents the low end of our previous guidance range. The revised guidance reflects strong first half operational performances at both Industrial Process and Motion Technologies, high restructuring benefits, and lower corporate costs. These tailwinds more than offset the disruption impacts at ICS but only partially offset the impacts from lower second half volumes. So, despite the challenging macroeconomic environment, we do expect to grow our adjusted EPS 11% at the new midpoint over the prior year excluding the $0.25 negative impact from foreign currency. And, finally, while we do not provide quarterly guidance, I would like to provide some additional color into our second half expectations. From a segment margin perspective, we do project a sequential decline from the first half, but we expect to drive approximately 60 basis points of adjusted segment margin expansion for the full year when compared to 2014. The sequential decline is mainly due to the seasonal benefits of a higher aftermarket mix in the first half at Motion Technologies. This impact will be partially diluted by incremental productivity gains and restructuring savings at both Industrial Process and ICS. In addition, we expect improvement in our Control Technologies adjusted segment margins due to higher volume leverage. In the second half, we also expect an increase in corporate costs compared to the first half due to typical functional seasonality, higher environmental costs, and lower expected returns on certain investments. Looking at the full year, due to the favorability in the first half, we expect to be slightly favorable to our annual corporate cost guidance of $55 million, marking the second quarter of improved corporate cost projections. We also expect our effective tax rate and share count to be generally consistent with the first half. And finally, EPS. As we funnel our quarterly top line expectations down to segment margin and corporate assumptions, we now expect our second half adjusted EPS to be evenly divided between Q3 and Q4. So with that, let me now turn it over to Laurie so we can begin the Q&A session.
Operator: The floor is now open for questions. [Operator Instructions] Our first question comes from the line of Mike Halloran of Robert Baird.
Mike Halloran: Good morning, everyone.
Thomas Scalera: Good morning, Mike.
Denise Ramos: Good morning, Mike.
Mike Halloran: So, let's talk about the IP margins to start out here. Very strong in the second quarter, certainly seems above what you guys were thinking originally. How does that play out on the back half of the year here when you have changing mix as well as continued, if not greater volume pressures working through? Are we going to get some drawback in that margin level as we work forward or is it the right run rate to work off of relative to whatever revenue levels you guys see?
Denise Ramos: Thanks for the question, Mike. We are very pleased with the benefits that we're seeing at IP right now. We've been working on a transformation in that business for a period of time now. It's been very targeted, and it's been very strategic. And we've been setting it up for the long-term growth of this business. The first thing that we did is we reorganized it into three verticals, and that has created a lot of efficiency and benefits by being able to get people focused in those specific areas that we've got. We've also embarked upon restructuring and realignment in that business based on what's been happening with the oil price decline. So, we've closed about 10 production facilities and sales offices. We've reduced head count by about 13% over the past year, year and a half. And we've been really focusing in these new verticals around taking reductions in our material cost and then driving further productivity through enhanced project management skills that we've had. We've also - and one of those verticals is the aftermarket vertical. And because of the work that we've been doing with the installed base over the past five years or so and now the focus that we've got on the aftermarket, we're being able to capture some market share in the aftermarket because of that focus and also through some new technologies that we're coming to market with. And so, we're just leveraging the large project installed base that we've got. So, a lot of what you're seeing in the IP margins in the second quarter is reflective of this work that we've been doing and the focus in the cost reductions that we've had. So, we're very pleased with seeing that new level of margins in IP. Now, I'll turn it over to Tom. And with that backdrop then, Tom, why don't you talk about how we see the margin sequencing in the back half?
Thomas Scalera: Sure. Yes. Mike, we're looking into the back half with a more difficult pricing environment and probably some unfavorable mix particularly when we look at the baseline pump order rates coming out of Q2. So, while we're operating at a high level with sustained productivity gains and additional compounding benefits from restructuring, some of that lift is going to be offset primarily by mix and price in Q3 and Q4. But I think what we've done in Q2 is establish the solid operational foundation. That may be kind of our high watermark for the year, but we still expect to be generating solid year-over-year margins as we progress through the back half of the year. But I would say Q2 is probably our high point based on the mix we saw then.
Mike Halloran: All right. That makes sense. So, maybe down sequentially but still having healthy gains year-over-year because of all the things Denise talked about. So, then, on the ICS side, I certainly heard the comments about profitability in the second half of the year being relatively comparable to the first half of the year.
Thomas Scalera: Now, let's move forward a little bit and as you work through those changes in the fourth quarter and you get the new facilities up and running to the way you wanted to, are we talking about a relatively immediate snapback to the run rate that you guys have established before you guys made the move from California down to Mexico, or is it going to take a little bit more time than that? Just kind of thinking about what the cadence can look like as we get towards 2016 there.
Denise Ramos: Sure. We do expect 2016 is going to have much improved margins from what we're seeing today. In the first quarter and in the second quarter, these disruptions that we've had have taken us down to the margin levels that we have today. And without those disruptions, we would've been averaging margins of about 14% or so in that business which was very good. We have been targeting mid to high-teens margins in that business, and so we still end up targeting that. The turnaround that we've got there, this is a very complex move. We are basically taking three locations and we're moving out of Santa Ana into Nogales, Mexico and into Irvine where the headquarters will be. The Nogales facility that we've got is going to be a North American manufacturing center of excellence for Santa Ana. This move needed to take place. And the reason it needed to take place is we had so much inefficiencies in the way that that business was being operated that this was a long-term fix to be able to take care of that. So, we are fixing that through doing some talent upgrades. We've been moving some machining capacity down to Nogales. We've been improving our production planning capabilities down there. And the goal is to make Nogales a much more efficient operation than what it would've been in the past. And so, it's going to take us some time to do that since this was a very complex move. But as we get into 2016, we should start seeing more of the benefits flowing through and then hopefully get back to those margins that we had targeted in the past.
Mike Halloran: And then last one for me here. Could you just talk about what the cadence of the orders and end-market trends in your more process-driven markets look like through the quarter? Are you getting a sense that things are stabilizing from an order perspective at a new bottom in some of those markets? Or do you think that there's more deterioration that's still happening, specifically, more oil and gas, chemical, those types of markets?
Denise Ramos: When we look sequentially through Q2 and we look at IP, things didn't change much from month to month. So, we did not see any major changes, any trends that would say that it's going up or it's going down. When people ask about our oil prices stabilizing, that will be great if they are, but I don't think it's prudent for us to bank on that right now. We're not going to plan for that. We're going to continue to drive productivity actions within that IP business, because they're so volatile, there's so many dynamics and changes that are occurring in the oil markets right now that it is hard to call. So, I think we've got to be prudent. We've got to continue to go after cost actions, because these oil prices can continue to fluctuate.
Mike Halloran: Thank you.
Thomas Scalera: And I will just add to that...
Mike Halloran: Go ahead, sorry.
Thomas Scalera: Sorry, Mike. Just add to Denise's comments also on chemical and general industrial markets. It was fairly consistent but it was below our expectations for the quarter. So that was another factor. As we look through the orders and through the results in Q2, we're assuming that that levels of chemical and industrial stay consistent with what we've seen in the first half. We're not expecting ramp ups in the second half beyond what we already see in backlog.
Mike Halloran: So, in other words, sequentially stable at low levels is what you've implied in your more short cycle driven businesses in the back half of the year?
Thomas Scalera: Exactly. And I think, previously, we're expecting a little bit of less maybe like others, but we just haven't seen indicators at this point, so we're not going to get ahead of the markets. We're just going to project based on what we know and see today.
Mike Halloran: Perfect. I appreciate it. Thank you as always.
Denise Ramos: Thanks, Mike.
Thomas Scalera: Thanks, Mike.
Operator: Your next question comes from the line of Shannon O'Callaghan of UBS.
Shannon O’Callaghan: Morning.
Thomas Scalera: Hey, Shannon.
Denise Ramos: Good morning, Shannon.
Shannon O’Callaghan: So, can you just give us a little flavor in terms of China, auto obviously been - they're very topical. You guys have won a lot of penetration there, but the end market outlook is not what it once was. Can you give a little sense of how that all shakes out for you guys and what - if China auto is a down market, what does that mean for you and what is your business doing in that kind of an environment?
Denise Ramos: In China right now, we have about 12%, 13% market share, and we've been growing our presence there. We've been growing our business in China. I still feel very strongly that there are good fundamentals in China, so that has not - in my mind that has not changed. The portfolio that we have and where we go to market is really focused in the premium segment. And so, we're focused on more new platform introductions, SUVs, and that part of the market in China is growing faster than when you look at the lower end of the range. And so, we are in that sweet spot and in that strong position within China. And we continue to drive opportunities to have cost reductions and localize our supply base, which really helps from a margin perspective in China. Saying all of that, we are cognizant of what's happening in the automotive industry in China. While there has been somewhat of a slowdown, we've taken that into account in our numbers, but we're still growing our China business. On a full-year basis, we expect to grow at about 30%. And so, it's still a high growth area for us. And when you look at the investments that we've been making in our Wuxi facility, we've been pacing and sequencing that. So, we are not getting ahead of demand in that market, and we are doing this in a very modular way where we have an existing facility. And as we see visibility into this platform, that's when we add incremental capacity in that facility. So, we still feel very good about China, very good about the fundamentals that are there. We're going to continue to take market share, and it is a strategic area for us for the future.
Shannon O’Callaghan: And do you have a view kind of past this year as you know what platforms you're on for next year and that kind of thing, how much you think you should outgrow the market just based on platform penetration?
Thomas Scalera: That's a great question, Shannon. Our run rate, I think - our 10-year run rate has been 2.5% globally, or 2.5 times the market globally. And I think our trajectory in China has been well in access of that. Keep in mind, we are just powering up in China. So, we are getting well entrenched with our R&D capabilities and really testing and gaining better relationships with our customers using the same model that we've had in Europe. So, the goal, I would say, for the longer term is to continue to drive the kind of market growth that we've driven in Europe because we're applying the same model effectively. So, I don't have an exact number for you. I think the team clearly plans out with about three to five years of visibility based on the platforms that we're competing on, the ones that we've already won. And I think we'll continue to target growth rates that are well in excess of the market certainly as we're gaining share in China.
Shannon O’Callaghan: And then just on Industrial Process. You have this lag between backlog and what the orders are actually doing this quarter. Obviously, it's a good revenue result off the prior backlog. When does the - if you think about the back half, how did the current order trends translate into actual revenues? I mean, when do you see your sharpest decline? Does it show up in 3Q or does it end up showing up more in 4Q or 1Q next year?
Thomas Scalera: Yeah. It's a good point, Shannon. And I think we'll see some of that starting in Q4 and then trailing into the first half of next year. Now, typically, our project backlog is 6 to 12 months. So, we'll start to see some year-over-year impacts, certainly Q4 last year was a very strong quarter for us as well. So, we would start to kind of expect that this order decline on projects starts to impact us in Q4 and then certainly into the first half of next year, which is I think why we're continuing to drive incremental restructuring, resetting the businesses again, similar to our Motion Technologies business, and the platform visibility we have. The backlog visibility that we have in Industrial Process business project category, in particular, allows us to plan out restructuring cost actions. And we do expect some nice year-over-year restructuring carryover from the actions that we've already put in place. And we're continuing to drive actions to make sure that as we see that play through into the first half of next year from a revenue perspective that we have the right cost structure, the right footprint, the right head count in place to be able to address those impacts.
Shannon O’Callaghan: Okay. Great. Thanks.
Operator: Your next question comes from the line of Matt Summerville of Alembic Global Advisors.
Matt Summerville: Hey. Good morning.
Denise Ramos: Good morning.
Matt Summerville: I wanted to revisit a couple of things in ICS. I guess, coming from your first quarter call, I would have guessed that the magnitude of impact was going to get a little better as supposed to a little worst. And I guess that it's kind of a complex move, but I guess I'm just trying to understand that if there's execution issues kind of beyond what you've talked about, is the management team that you put in place there I think was roughly a year and a half to two years ago, is still the right group of people. And I guess, what's your expectation for full-year disruption cost now?
Denise Ramos: Yeah. You know the challenge with this is that it has unfolded to be a much bigger, more complex move than what we had anticipated. So, yes, there are execution challenges associated with this. Important to note that we have been changing out some of the people in the organization as we've been going through this. We recognize that our workforce needed to have more trainings and different leaders. And so, we've been making some of those changes as we've been going through this transition. But the team is really focused on it. We've also taken some people from other parts of ITT, and we're supporting that team. Within ICS, they've taken some good operations people from their other locations to put down there in order to sort through some of these challenges. And it really just ended up being a more complex situation than what was anticipated at the beginning of this.
Thomas Scalera: Yeah, Matt, and the way we're thinking about disruption for the back half of the year is, typically, our nature, if we haven't seen a turn yet, we're going to assume that it carries. So, we're kind of taking the disruption that we've seen on a year-to-date basis and kind of imputing that into the back half of the year. Recognizing that, we put restructuring actions online in Q2 which impact about 6% of the workforce for ICS. So, we are taking actions to get the right cost structure to align with the right footprint and the right processes. And that's going to set us up, we think, certainly nicely as we go into 2016 where we have these kind of impacts fully behind us. But we're going to keep walking through it systematically. And just keep in mind in the background that the oil and gas business and ICS has a very big impact on the profitability. It's a high margin, upstream, short-cycle business that is facing a very difficult market condition. So, in addition to Nogales, we are continuing to see upwards of about a 30% decline in that very important business within their connectors portfolio. So, it's just another point I want to raise.
Matt Summerville: And then just lastly, if you can maybe recap the restructuring costs that you're taking in 2015, the savings you expect to get this year from actions either done last year or during the current year, and then what is the carryover into 2016 based on your current plans.
Thomas Scalera: Sure. Yeah. We're still on track with our previous guidance to deliver $40 million to $45 million of restructuring actions in 2015. We do have - what we're projecting right now is incremental savings rolling off of the announced actions running into 2016 of about $15 million to $20 million of incremental savings. So, we are getting and a lot of that is going to be concentrated in Industrial Process and in our ICS segments as well. So, we have some nice carryover going into 2016. We also have some additional actions that are going to help us in the second half of 2015 offset some of the top line pressures we're seeing. But that's kind of where we are now, Matt, and as we keep watching conditions in markets unfold, we'll constantly assess if we want to do more to stay ahead of any of the pressures we see mounting for 2016. But right now, we're holding it at $40 million to $45 million of actions this year.
Matt Summerville: Great. Thanks, guys.
Denise Ramos: Thanks, Matt.
Thomas Scalera: Thanks, Matt.
Operator: Our next question comes from the line of Brian Konigsberg of Vertical Research Partners.
Brian Konigsberg: Yes. Hi. Good morning.
Thomas Scalera: Hey, Brian.
Denise Ramos: Good morning.
Brian Konigsberg: Maybe you just talk a little bit more about Motion Tech win in the U.S. with this new Detroit 3 platform. When will you anticipate to see that start to contribute to the top and bottom lines. And it sounds like this is in a more - a bit of a share gain story as well. I mean, could this be a growth driver similar to what we're seeing out of China given kind of the platforms that you've been winning recently?
Denise Ramos: We are very excited about North America that has been one of our growth platforms for Motion Technologies as we've articulated to you. And so, this win that we had will really take about 18 to 24 months in order for us to start seeing the production associated with that. What we really like about this win that we had is we continue to build the North American business, and we're doing it with more complex brake pads. So, this is a copper-free brake pad which is higher technology. It's also on the front axle, which means there's higher performance associated with that. So, we're winning because of the strength that we have within our technology capabilities and how we go to market with that and work with our customers. So, we like this. It's building our business in North America. North America will be a strong platform for us as you think about the future for Motion Technologies. And what we really have now then are three businesses, the European business, the China business and then the North American business. So, we're very excited about it.
Brian Konigsberg: Great. And maybe just - can you talk about the change in asbestos. So, it sounds like you're able to change strategy on legal. Is there anything else that you think that could transpire? Obviously, there's been a lot going on, on the legal front there where the liability can be eroded further. And does this change? And as it kind of grinds lower, does it provide you any more flexibility from a strategic standpoint.
Denise Ramos: In terms of asbestos, it's a great change for us in terms of defense cost. And so, we're very, very happy with now being able to optimize how we handle our defense cost within our specifiability. We go through on an annual basis in Q3 a re-measurement of that, but we look at it every quarter just to make sure that we don't see any major changes or movements that's happening in the asbestos world, and we monitor that. If there was anything that we saw that resulted in a significant change or significant movement, we would identify that. So, we've not seen that to-date, but we did - when we entered into this new agreement from a defense standpoint, that's when we went in and we reduced the liability over the long term associated with the reduced cost that we're going to have from a defense standpoint.
Thomas Scalera: And I would say too, Brian, we have a great legal team that work the strategy. We've got a lot of folks all across ITT that are part of our risk center of excellence that are constantly assessing strategies to improve our cash and our situation. This is a nice add to our capacity because it reduces the net asbestos liability by $101 million, so it's a nice incremental benefit, and I think that's the way we're looking at it. This is something that was within our control to go out and make happen, and the team did a great job of capturing it. So, it's a positive from a capacity perspective and from a cash flow perspective as well.
Brian Konigsberg: Okay. If I could just sneak in one last one, just on IP, so conceptually, with the price declines that you're booking in backlog today and all the restructuring that you're doing. I know you don't want to get into specifics on 2016 at this point, but maybe just conceptually, can you talk about the trajectory of the margin opportunity next year? Is the severity in price declines you think that is going to be, I guess, overshadowing the additional opportunities you have on the restructuring side? And do you still see a path where margin is going to expand next year even with the volume in price pressures that are coming your way?
Denise Ramos: Yeah. On the price side, at the beginning of the year when we came up with our guidance, we thought very hard about price and what was going to happen from an IP perspective in the marketplace. We've not changed those expectations. We factored in about a 10% to 15% decline in price. But I think what's important to note here is that we're being very disciplined with how we approach these projects and how we price these projects, recognizing that there are different dynamics and different things that the customers are looking for. Saying all of that, we're monitoring it very, very closely. We're monitoring what's happening with our backlog and with the volume levels that we're anticipating into 2016. And we are looking at what cost actions we need to take and what restructuring we need to take in order to be successful in 2016.
Brian Konigsberg: Great. Thank you.
Denise Ramos: Thank you.
Operator: Our next question comes from the line of Nathan Jones of Stifel.
Nathan Jones: Good morning, everyone.
Denise Ramos: Good morning, Nathan.
Thomas Scalera: Hey, Nathan.
Nathan Jones: Just going back to guidance here for a minute. I think, Tom, on the last call you were saying that 2Q earnings was expected to be about flat like last year which gives you about a 10% in 2Q. Doing a little math while I'm on the phone here, it looks like your expectation for profitability in Interconnect is probably down about $0.15 for the full year. And with the $0.05 reduction in guidance, that would imply to me that the weak effect in half markets just basically offset with the actions you're taking internally. Is that a fair way to characterize it?
Thomas Scalera: It's a way to think about it, Nathan. I mean, I think the way we're looking at it is a strong first half performance, additional productivity and restructuring kind of carrying into the back half, that's going to offset all of the ICS reset that you're mentioning because we are just kind of staying in line with what we've seen from a year-to-date basis as we project the back half at ICS. And then we'll cover a portion of the volume drop, so taking the volume down by 1.5 percentage points at the mid, that drop on that revenue we've partially covered with other actions that we have in place. But that's how we kind of think of the guide, to guide a reset.
Nathan Jones: Okay. And then in IP, I think about 30% of that business goes through distribution. Can you talk about what impacts you're seeing from destocking in the channel, whether that was an impact on 2Q, if it continues into the back half?
Thomas Scalera: Yeah. We've definitely have been riding the destock and restock express here. So, I think in Q1, we did see some nice restocking. In Q2, we've been seeing, what I would say, is more destocking. So, we kind of netted out a little bit below where we expected. It was hard to really extrapolate what we saw in the first quarter. And we certainly saw things kind of normalize out in Q2. So, as we go into the back half, it's kind of hard to say exactly where the channel is right now. I could tell you we're working very closely with our distribution partners. We've got a great North American distribution network, and we're very tied with them on their forecasting and planning. But I think in this kind of market environment, it's been a little bit more erratic than we anticipated. But if I had to call it, Q1 was some restocking and Q2 feels like it's destocking. And we'll assume that something similar happens in the back half of the year.
Nathan Jones: That's helpful. And just a clarification, Denise. When you were talking about the 10% to 15% decline in prices, that's specifically on the project business within IP?
Denise Ramos: Generally, it's on the project side, Nathan. That's where we're seeing most of it. Yes.
Nathan Jones: All right. Thanks very much for taking my questions.
Denise Ramos: Thanks, Nathan.
Thomas Scalera: Thanks, Nathan.
Operator: Your next question comes from the line of Joe Ritchie of Goldman Sachs.
Joseph Ritchie: Thank you. Good morning, everyone.
Denise Ramos: Good morning, Joe.
Thomas Scalera: Good morning, Joe.
Joseph Ritchie: I guess, maybe just going back to ICS for a second. Denise, how would you handicap ring-fencing VP issues to this year? And then, as you kind of look into next year also thinking about just getting back to that 13% to 14% margin, is that feasible?
Denise Ramos: Well, we have a lot of actions underway right now, Nathan (sic) [Joseph] (58:15) to be able to do that. And I've mentioned those when we're looking at the production side of this, the supply chain issues that we have just becoming more efficient associated with that. So, that is definitely our goal, and we've been making a lot of changes internally in order to be able to get there. So, the goal is to do that, and we'll just see if we're successful at that. We're executing very hard against that.
Joseph Ritchie: Okay. But at a minimum rate, a lot of the costs and the headwinds that are really depressing margins this year go away in 2016, that's a fair statement, correct?
Thomas Scalera: Yeah. I would say, Joe, the only kind of carryover might be the oil and gas upstream market pressure that they're going to have to ride through. So, operationally, we have a good line on where these disruption costs are coming from, and we're certainly working to address those this year with the plan to minimize, if not eliminate, those going into 2016 and then just look at the market conditions at that point in our key markets: aerospace, defense, and oil and gas. But the one I'd say we're watching in 2016 is upstream oil and gas. But clearly, that would be coming off of a pretty tough 2015 as a baseline.
Joseph Ritchie: Okay. Great. Then I guess, Tom, maybe following up on just the margin differential. We've talked about this in the past. There seems to be a pretty big gap between the margins that you're earning in Mexico as opposed to California. Can you just kind of talk us through longer term what that opportunity looks like as you transfer a lot of production down there?
Thomas Scalera: Yeah. I mean, I think our plans are still the same as they've been, Joe, to move this business into mid to high-teens range. I think the efficiency improvements that we're driving - we've been in Nogales for a number of years. We have had a very successful operation in Mexico. We're adding additional complexity into the environment there, and they're going to come up to speed on it. They're going to learn, and we're going to get the right folks in there to kind of run that operation efficiently. So, what we've always projected around ICS's long-term margin profile is unchanged by this particular period of time, but we do need to get through it. And I think we're making good progress. But it's still the right efficiency level to drive for our customers and to make sure that we continue to produce at a high level, and that will give us the margins that we think are consistent with what other top players are doing in the industry.
Joseph Ritchie: Okay. Thanks, guys.
Thomas Scalera: Thanks, Joe.
Denise Ramos: Thanks, Joe.
Operator: Ladies and gentlemen, I do apologize but we have reached the allotted time for questions and answers. Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day.